Operator: Good day, ladies and gentlemen and welcome to Enel Américas’ First Quarter 2022 Results Conference Call. My name is Gigi and I will be your operator for today.  During this conference call, we may make statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements could include statements regarding the intent, belief or current expectations of Enel Américas’ and its management with respect to, among other things, Enel Américas’ business plans, Enel Américas’ cost reduction plans, trends affecting, Enel Américas’ financial condition or results of operations, including market trends in the electricity sector in Chile or elsewhere, supervision and regulation of the electricity sector in Chile or elsewhere and the future effect of any changes in the laws and regulations applicable to Enel Américas’ or its affiliates. Such forward-looking statements reflect only our current expectations are not guarantees of future performance and involve risks and uncertainties. Actual results may differ materially from those anticipated in the forward-looking statements as a result of various factors. These factors include a decline in the equity capital markets of the United States or Chile, an increase in the market rates of interest in the United States or elsewhere, adverse decisions by government regulators in Chile or elsewhere and other factors described in Enel Américas’ annual report on Form 20-F, including under Risk Factors. You may access our 20-F on the SEC’s website, www.sec.gov. Readers are cautioned not to place undue reliance on those forward-looking statements, which speak only as of their date. Enel Américas’ undertakes no obligation to update these forward-looking statements or to disclose any development as a result of which these forward-looking statements become inaccurate. I would now like to turn the presentation over to Mr. Rafael de la Haza, Enel Américas’ Head of Investor Relations. Please proceed.
Rafael de la Haza: Thank you very much, Gigi. Good afternoon, ladies and gentlemen,  and welcome to our first quarter 2022 results presentation. I am Rafael de la Haza, Investor Relations Enel Américas’ team. In the coming slides, our CFO, Aurelio Bustilho, will be presenting the main figures of this period. Let me remind you that this presentation will follow the slides that have been already uploaded into the company’s website. Following the presentation, we will have the usual Q&A session. Please remember that questions can be made only through the telephone line. Now, let me hand over the call to Aurelio who will start by outlining the main highlights of the period in Slide #3.
Aurelio Bustilho: Thank you, Rafael. Good afternoon, everybody. During the first quarter of this year, we had a solid result in our businesses. EGP Americas boosted our performance in generation business, while in network business we saw an important increase in demand in Argentina, Colombia and Peru. EBITDA increased by 48% during the period, mainly due to the contribution of EGP Americas and better results in network business in Brazil, explained by higher tariffs, while net income grew by 100% compared to first quarter of 2021 due to better operational and financial results. Regarding ESG, we are glad to announce that we recently published our first integrated panel report, sustainability report in Form 20-F for the fiscal year 2021 which are available on our website. Finally, during this period, we added 36 megawatts of renewable capacity, while Fonte dos Ventos II wind farm in Brazil built last year, began commercial operation during April. At the same time, we continue working on another 2.7 gigawatts or 2,700 megawatts of capacity under construction. Let’s move to the following slide to see the main macro indicators. So, on the left table, during this period, currencies in Argentina, Colombia, Costa Rica and Peru depreciated against U.S. dollars, while Brazil and Guatemala appreciated. In terms of inflation, we can see that compared with first quarter 2021, inflation rate increased in all the countries except for Guatemala, reaching a significant level in line with the situation that is currently being seen across the world. Regarding electricity distributed, during this quarter, we saw an important growth in Argentina, Colombia and Peru, while Brazil slightly decreased due to lower economic activity and lower temperature, especially in Sao Paulo. Finally, in terms of collections, we can see that we are in a better position in all the countries, except for Brazil, which slightly decreased. In terms of bad debt, we have an increase of 93%, mainly due to bills not paid in more than 1 year by the clients in Brazil related to the pandemic. Now, let’s have a look at the next slide, Slide 5. During the first quarter of this year, our CapEx increased by 91% compared to the same period of last year, reaching $563 million. This is mainly explained by the consolidation of EGP Americas and higher investments in network business in Brazil. From the total amount, 76% was invested in Brazil, reflecting the relevance that this country has for our future growth. In terms of business, 69% were devoted to networks and 24% to renewable generation. Looking at our growth CapEx, we see that it grew in a significant manner during the period, mainly due to the development of new renewable generation plants and our efforts to optimize our networks. Let’s now analyze our operating highlights on Slide 6. In generation business, our installed capacity reached 16 gigawatts, including the 36 megawatts of new capacity operating during this quarter that we will see in detail in the coming slide. From this total capacity, 69% is renewable. Net protection on the first quarter reached 13.1 terawatt hours, an increase of 35% compared to the same period of last year, mainly explained by the contribution of EGP Americas. From our total production, 70% is emission-free, a significant improvement compared to the 59% of the same period of last year. Energy sales increased by 54% during this period reaching 19 terawatt hour mainly explained by the consolidation of EGP Americas and a demand recovery in the region. In Slide 7, we will focus on EGP Americas. With 36 megawatts of new renewable capacity already mentioned, we reached 4,700 megawatts or 4.7 gigawatts of capacity coming from EGP Americas, from which 77% are in Brazil. In terms of technology, 2.3 gigawatts or 2,300 megawatts are wind capacity and 1.3 gigawatts or 1,600 megawatts solar and 800 megawatts hydro. We have 2.7 gigawatts of capacity under construction, mainly located in Brazil and Colombia. 1.7 gigawatts are wind projects and 1 gigawatt are solar projects. During 2022, around 0.6 gigawatts will begin operations while 1.9 gigawatts will enter in 2023 and 0.2 gigawatts in 2024. CapEx in EGP Americas during the first quarter was $0.1 billion, mainly allocated in Brazil. Regarding our pipeline, we are considering 659 gigawatts, from which 31 gigawatts are in early stage and 25 gigawatts are in material stage. In addition to this, we have around 1 gigawatts of battery energy storage system and we are also considering 2.7 gigawatts of budgets under construction already mentioned. Let’s have a focus on the new project on Slide 8. As mentioned before, during the first quarter, we concluded a stage of La Loma project in Colombia. This is a 36 megawatt solar project located in the region of Cesar. This is the first stage of a project that will totalize 187 megawatts. In addition to this, during the month of April, our project Fonte dos Ventos 2 just began commercial operation during – in April. This is a 99 megawatt wind project located in Pernambuco, Brazil, and this plant is fully completed. Finally, let me announce that we recently installed the first panels of Madre Vieja, a 31 megawatt solar project located in the region of Progresso Panama. Let’s continue to networks operation highlights on Slide 9. Electricity distribution reached 30.2 terawatt hours in the first quarter, which represents an increase of 0.5% compared to the same period last year. This is explained by an important recovery in demand in Argentina, Colombia and Peru partially offset by a slight decrease in Brazil. Regarding number of customers, we had an increase of around 570,000 compared in the last 12 months, which is more than 26.3 million customers among all distribution companies. In terms of quality indicators, SAIDI, which is the duration and SAIFI, which is the frequency of favors improved in all countries, except for Argentina, while energy losses decreased in Argentina, Brazil, Colombia and a slighter increase in Peru. On Slide 10, we will see Enel X and retail businesses. In Enel X business, we had a very solid growth in charging stations, portable bike fannings in maintenance and repair contracts, while public lighting and credit cards also improved. I mean, in every front that we are having analytics improved compared to this quarter between this quarter from last year. Regarding retail business, the number of delivery points increased by 19%, reaching 4,877 and the energy sold amounted to 5.7 terawatt hour in this quarter, which means a 14% increase compared to the same period of 2021. Both businesses keeping reinforcing our focus on customers in electrification helping us on our strategic goals and towards the net zero target. Let’s now have a look at our ESG highlights in the coming slides. As we mentioned in the beginning of the call, we published our first integrated annual report and this report includes the financial and non-financial information for 2021 period. And we also published our 2021 sustainable reports. Both reports are aligned with the TCFD, GRI and SASB standards and they are available in our website in our investor portal. We also published our Form SEC 20-F at the end of April in compliance with the U.S. regulation. The reports reflect how sustainability is fully integrated into our business model as a risk management and value creation driver also transparency. It also demonstrates the company’s efforts to face this transition, mainly in the decarbonization and electrification in the region and comply with the group’s commitment to the Paris agreement. Now, I will comment about the financial results for the period in the coming slides. EBITDA in the first quarter reached $1,166 million, 47.7% higher than the same period of last year. This is mainly explained by the consolidation of EGP Americas and better results in network business, mainly in Brazil, explained by higher tariffs. If we exclude the impact of 64 megawatts coming from the currency devaluation and $116 million from EGP Americas, we get to an EBITDA of $1,114 million, while which is 41% higher than the EBITDA of first quarter last year. This shows us the big contribution of the consolidation of EGP Americas, reemphasizing – reinforcing that the merger was a very positive front for Enel Américas. Group net income in the first quarter increased by 100% explained by better operational results and better financial results, mainly due to FX impacts. Funds from operations in this period reached minus $43 million, while net debt increased by 26% reaching $7.4 billion. We will analyze in detail cash flow and debt later in this presentation. On Slide 13, we will see EBITDA evolution and breakdown. Starting from $789 million of EBITDA in the first quarter of 2021, we see that all our businesses have positive operational results during the period. Thermal generation improved by $21 million, while renewables increased by $200 million, mainly to the contribution of EGP Americas, which as you remember, was $116 million. Networks increased by $294 million, mainly due to adjusted benefits in Brazil, while retail and Enel X grew by $45 million and $12 million respectively. Currency devaluation plus other impacts had a negative impact of $16 million reaching a final EBITDA of $1,166 million, 48% round figures, higher than the same period of last year. On a country basis, we see that the main contributors contributed for consolidated EBITDA was Brazil with 51%, while Colombia represents 31%, Peru 14%, Central America 2% and Argentina 2%. Let’s have a focus on generation networks business in Slide 14 and Slide 15. EBITDA generation business increased by 55%, mainly explained by the contribution of EGP Americas, reaching $513 million, repeating of which $116 million came from EGP Americas. In all countries, we saw significant improvement at EBITDA level, especially in Brazil, which grew by 240%, mainly due to EGP Americas consolidation and better hydro conditions. Peru increased by 35%, Argentina 22% and Colombia 10%. This was partially offset by currency devaluation, which had a negative impact of $34 million. Colombia was the main contribution of total EBITDA with 39%, followed by Brazil with 32% and Peru, 19%. Let’s see networks business in the next slides. EBITDA in networks business increased by 39% compared to first quarter of last year, reaching $666 million. In Brazil, we had an increase of 61% at EBITDA level, mainly explained by higher tariffs due to the tax adjustments made last year. In Colombia, we had an increase of 16% due to tariff adjustments and higher demand, while Peru EBITDA grew by 4%, mainly due to the higher demand. This was partially offset by a negative EBITDA in Argentina due to the frozen data  situation that we are facing. Brazil represents 67% of networks EBITDA followed by Colombia and Peru with 34% and 9%, respectively. Let’s analyze our cash flow in Slide 16. Starting from an EBITDA of $1,166 million, we see that networking capital amounted to minus $978 million, a significant increase compared to the same period of last year. This is mainly explained by an increase in the investment payments made in period, lower collection in Brazil and the impact of bad debt that we should recover during the rest of the year. Tax paid during the same period amounted to $159 million, while net financial expenses amounted to minus $72 million. With this FFO funds from operations amounted to minus $ 43million in this first quarter of 2022. After investment for $563 million, including $0.1 billion coming from EGP Americas, we had a free cash flow of minus $606 million. Let me now analyze the debt of our company in the next slide. Slide 17, gross debt, as you can see, amounted to $9.2 billion, an increase of 25% compared to December 2021. This increase is mainly explained by higher debt in Brazil and in  due to higher investments and FX effects. Net debt reached $7.4 billion, while – which considers free cash flow of $606 million. Net investment – net dividends paid for $87 million, financial receivables for $181 million, extraordinary operation for $7 million and FX impact of $641 million. In terms of currency and country, we see that Brazil remains as the largest contributor while the debt at holding level represents 15% of total. Finally, regarding the cost of debt, we can see an increase for this period growing from 6.1% and 8.6%, mainly explained by higher interest rates and higher inflation in Brazil and Colombia. Let me emphasize here that we have an FX, just translation FX of $641 million that it doesn’t impact the financial statement, the income statement and it goes to the shareholders patrimonial. In our liquidity amounts to $2.1 billion, which 76% correspond to cash and cash equivalents and 24% are committed credit lines. The average maturity of our debt is 3.2 years. And for 2022, we have maturities for $2.2 billion and most of our debt maturities after 2024. This solid liquidity position allows us to support our growth strategy. Let me conclude this presentation with some closing remarks. During the first quarter of 2022, we saw solid operational results across all businesses. This, along with the solid contribution of EGP Américas allowed us to have an important improvement at EBITDA and net income level, while we maintain a solid financial position that support our growth strategy. We continue with our ESG focus and we are positioned in our company as one of the best ESG players in Latin America. Finally, we are strong delivering executing the new capacity coming from non-conventional renewable source in line with our structures, totally in line with the merchant project that we concluded last year and advancing in our renewable increase capacity. Please, Rafael.
Rafael de la Haza: Thank you, Aurelio for this complete explanation. Very, very clear. Now let’s move to the Q&A session. Operator, please proceed.
Operator:  Our first question comes from the line of Javier Suarez from Mediobanca. Your line is now open.
Javier Suarez: Hi, good morning, Aurelio and Rafael. Thank you for taking my question. I have two. The first one is on the significant absorption of – by working capital and deterioration in working capital. The question is, can you help us to understand the reason for that by country and when do you expect that to be fully reabsorbed? I think that during your presentation, you mentioned that it should be progressively reabsorbed by the end of 2022, which is our base case regarding the absorption of that, close to $1 billion working capital absorption during the first quarter 2022? And the second question is on the balance sheet structure of the company. The net debt to EBITDA of the company is now close to 2x, 1.7x. Is that compromising your capacity to deploy capital on renewable energy in the region? So putting the question in a slightly different debt, where do you see the optimal level of net debt to EBITDA for a company like Enel Américas? Thank you.
Rafael de la Haza: Thank you so much, Javier for your question. Regarding networking capital, Javier, we have – as you can see in the slides, the impact of total networking capital was $978 million, right, of which this impact comes from payments that – from CapEx in infrastructure and networks, especially from the November and December, right. This amounts to $400 million. Then we have an impact of, as we explained, especially for collection of $140 million regarding– the $150 million from the debt in distribution, okay. Then we have in generation, we have an impact of $200 million in generation, especially for the payments regarding the projects that will, as you comment that will enter into operation this year. So we paid this. It was a payment process during this quarter. And last but not least, we made a securitization in our generation assets more related to  of $200 million which is – we did a securitization with the financial institute that achieves the risk. It was an interesting operation that will do it progressively. We tested this in the end of last year, and we will do it progressively. It was at $200 million with receivable with lower risk, which costs for us not more than $2 million in 3 months. But of course, when we have to pay and pass it to the financial institution, it affects our networking capital. From these figures, if I can decompound this, the $200 million from generation, we will do it more frequently, not only by the end of the period of the year. But I mean, in at least half or 6 months’ basis, it depends on the volume that we sell. From the CapEx in distribution, of course, we are analyzing and to be more restricted with this CapEx in order to not increase our debt and to maintain our debt level. And of course, the part of renewable assets that we paid for it depends on the profitability and the COD of the projects, right. Remember that this year, we are estimating to enter with economic impact for a new capacity of $600 million of EBITDA which means that we are focusing to the COD especially for this year. But again, and then I can jump to the next question because I think it come – it refers to the same issue. How is the level of the net debt that the company thinks it can be feasible? Right now, we have 1.7x. We are focusing, Javier, not to jump over, of course, we have the limit of 2.5x net debt to EBITDA, but we are – our focus is to remain between this – between 2% and 2.5% below the 2.5%, right, more growth to the 2x. To achieve this, of course, we will be more – much more selective with the CapEx, right, balancing between distribution and renewables. And of course, the resource is unlimited. So we need to be selected and selected investment in order to not transpose this level. I mean this returning to the networking capital level, our focus here, of course, is to reduce this negative impact and maintaining more close to $500 million during the rest of the period. As you see, there is lots of effort that the company be testing products in order to optimize working capital and we will do it in a progressive way. But in the first quarter, we didn’t see this impact all reflected. But during the year, we will recover this level of around $500 million if we consider that with these extraordinary CapEx payments during the first quarter, right.
Javier Suarez: Okay, many thanks.
Operator: Thank you.  Our next question comes from Andrea Segreti, JPMorgan. Line is now open.
Andrea Segreti: Thank you. Good afternoon, Aurelio and Rafael. I have two questions. The first one is about Enel Goiás. So we saw several stores in the market, the regular market next week about Enel Américas’ potentially deciding to sell. So the question would be if the company is indeed moving to the best for sale, what would be the rationale of the sale? What would be the use of the proceeds, if that was the case if the company is looking for new acquisitions or focusing your on renewables or just managing the leverage of Enel Américas especially ahead of the closing of the  next year? And the second question would be on the renewable CapEx, so I would like to hear a little bit about if you’re seeing pressure on CapEx for wind and solar. We know there is a lot of inflation in Brazil and also worldwide with the war and the commodity prices going. So the question would be as increase affecting an alarm or an early overhaul, does this change your CapEx spend for the year and for the coming years? Thank you, Aurelio.
Aurelio Bustilho: Thank you so much Segreti. Regarding CapEx renewable, just in order to make reference of the question made by Andrea. The renewable CapEx for the next 2 years, I mean, we have committed projects. So – and we have all this CapEx already– with the prices already contracted. I mean there is no major, I mean, issues regarding the CapEx that we have committed in regard to inflation and so on. Of course, we have impacted like everybody, but less than the lower impact considering that we have a huge procurement effect during this year. But for 2022, for example, renewables, we have $1.3 billion and this $1.3 billion will maintain this CapEx for this year and expecting to have, of course, this $600 million. I mean, adding more $200 million total to the $400 million that we had in the previous years. I mean, if you asked me already, we will maintain the $3.2 billion for the year of CapEx – it’s – of course, we analyze – we will be more selective on this, Eric. In order to, of course, the profitability, the returns and also the cost per megawatt are as we are following this. We are seeing increases in CapEx per megawatt are of 30% of this. But in any case, especially for this year, we do not see any big issues for this year. But for the following one will analyze in more capital, as I was explaining before, considering our debt to maintain our discipline in our debt level. Regarding Enel Goiás regarding the company that we purchased in 2017, we saw lots of– I mean news or we do not have anything formally decided regarding this. Although we always said that we have this in our strategy, the possibility to rotate, the asset rotations. I mean the cost secret call here, if we see that there is an opportunity to realize or to change investment, not only in distribution, but anyway in any business, we see the possibility to maximize our – the value of the company, of course, we are open. But having said that, there is no official, there is nothing formally decided in this front of Enel Goiás of sell. Let me remind you that we are performing very well the company with reducing very effectively the quality, I mean the failures in the company, improving efficiencies and so on. The company is in a good track. It’s a good asset. We transformed this asset in a good asset and there is no issue related for no process related to this. But asset rotation is embedded in our strategy since we presented our strategic plan.
Andrea Segreti: Okay. Thanks Aurelio.
Operator: Thank you. Our next question comes from the line of Andrew McCarthy from CrediCorp Capital. Your line is now open.
Andrew McCarthy: Good afternoon Aurelio and Rafael. Good afternoon to everyone on the call. Thanks for the presentation and taking my questions. I have two initially, please. Firstly, regarding the distribution business in Brazil, there has been a lot of adjustments in terms of the tariffs lately, seeing you had a sort of a $450 million EBITDA in this business in the quarter. I was just wondering, going forward, sort of how you are thinking about how that should evolve and if there are any sort of recent regulatory changes that we should take into account also like mentioning the adjustments upward in tariffs? Any color you could provide us there to help us better calibrate and understand how that performance of our business overall should be going forward. And then the second question is the – just if you could give an update on where you are with the restructuring, if you like, of the Sao Paulo pension fund, just to understand where you are in the conversations there and what you are expecting for this year on that front? That’s it from my side. Thanks.
Aurelio Bustilho: Thank you, Andrew. In order to see what will be the performance of distribution in Brazil, you should analyze two things. How the adjustments will follow for this year, of course, we are – it’s very close to the inflation, right. So, if we have higher inflation, so we have a higher tariff adjustment. So, that’s why we had a tariff adjustment in Rio and higher than 10% in CRR. Now in April, we have almost 25% of the adjustment and the difference is because Rio is IPCA and CRR, we have a IGPN. But I mean it’s a huge increase in terms of pipe, but increase connected with the inflation, with the tariff contracts. And the other issue is to analyze is the development of the distributed energy, right. In the short-term and it is more related to the temperature then related to economic activity, right. We are not seeing a huge economic activity, but we are seeing more – a big impact in terms of temperature. So, the temperature in the quarter was lower than the temperature in the – slightly lower of first quarter of last year, but at the end of the day, the tariff adjustment that we have in this case in Rio, mostly Rio. And of course, the full tax adjustment that we have in Sao Paulo for let Goiás and Ceará supported the increase in the – of this quarter compared to the previous one. So, I mean this price effect will be – probably will be higher. What’s the – of course, on the other hand, it can put more pressure, right, in the collection issues because people will have a higher tariff. I mean this balance of quantity and tariff at the end of the day, if you have a higher view, the trend is to increase collection. That’s why we are improving. The good thing is that right now, we have mechanisms to – for the clients to pay installments more automatized and we do not have restrictions related to the pandemic. So, we can also put discipline in the market, disconnect and offer installment payments. I mean the perspective for distribution in this environment in the short-term, I mean for 2022, it is good from the economic side, but – and we need to take care of the debt in relation to this. Another important issue that I did not mention is that the hydrology – remember that we are now in a very good hydrological issue, which provides us a better working capital since we are paying – we are receiving more money in our tariff to pay the energy that we purchased since we have a good hydrology and remember that in this first quarter, we didn’t have received yet similar to the account, the hydrological accounts, which for us is $100 million more or less, and it is operating in April. So, you will not see this in the first quarter. I mean these sectors, for economic demand and price readjustments are key and it seems that they are good. In the financial side, the collection will be pressured, okay, will be pressured by higher tariff, the same effect. And this hydrological issue will be better than last year because last year, remember that we have a crisis in hydrological issues, so the perspective is good, but attention with collection, right, sorry for it to be long in this issue. Regarding the pension fund, total funds today, we have, remember that we have a debt, it is in reais, okay, the debt is in reais. But translated into U.S. dollars, the current – just for you to have an idea, more familiarized with dollars, we have $ 1.3 billion of debt. I mean the liabilities are higher than the assets in the plant. And we announced that we will remove the sponsorship of this plan. This will bring us to a situation that we will transform this debt that today is not, let’s say, fully controlled because contributed defined benefit, you cannot control the interest discount, the discount rates and also the mortality table. So, we will transform this into a fixed debt and the impact we are estimating to be the first quarter of 2023. So, I mean we will transform for the rating agency exactly the same. We transformed it. A debt, there is a debt, that’s not fixed. Pension debt, I mean I forgot the name right now, but pension debt to a financial debt, okay. So, just – and then we have a fixed amount. Remember that when we showed the leverage, the total leverage, we consider the pension fund – considering the pension fund is 1.9x, okay.
Andrew McCarthy: Great. Very helpful. Thanks very much Aurelio.
Aurelio Bustilho: Thank you, Andrew.
Operator: Thank you. Our next question comes from the line of Peter Bowley from Bank of America. Your line is now open.
Peter Bowley: Hello Aurelio and Rafael. Thank you for the call and taking my question. In your appendix on regulatory issues, you mentioned the recent publishing of the roadmap for offshore wind projects by Colombia’s Ministry of Mines and Energy. Could you share a bit more detail on the scope of the Colombia offshore wind opportunity for Enel Américas perhaps relative to your growth pipeline? And how do you think about timing for these types of projects in Colombia? Thank you.
Aurelio Bustilho: Peter, I don’t know if I understood correctly. Yes, we presented the roadmap of our energy condition in each country, but the Brazil was the last one. But I understood from your question, you asked about offshore renewables.
Peter Bowley: Yes. In Colombia, specifically.
Aurelio Bustilho: Okay. Peter, we are not focusing to offshore renewables right now, right. For us in Latin America, especially in Latin America, we have seen lots of opportunities and lots of potential in shore, which is cheaper than the offshore solution. So, I mean of course, we analyze all the technologies. We are also analyzing also the storage issues. And especially in Colombia, we have seen yet we saw some transportation strikes and so on. But we see lots of potential in the country in shore, I mean in the country for wind and solar. So, we presented a solar project right now and we are – we put in COD in the first quarter, the project – the first part of this project in La Loma. And this project will reach almost 180 megawatts. I mean we are focusing – I mean we have – our priority right now, I mean for the next – at least the next 3 years to 5 years is in shore and in Colombia also. So, offshore is – of course, it depends on cost. It depends on – today, we reach in this kind of projects in average solar and wind, we have 1.2 million per megawatt install capacity. I mean it’s – and we have been very, very competitive on this. In solar, for example, is we are reaching $700,000. So, there is no need or there is not – it’s not the word, but I mean it’s more feasible and more profitable the in shore renewables capacity right now, right.
Peter Bowley: Great. Very clear. Thank you.
Aurelio Bustilho: You’re welcome.
Operator: Thank you. At this time, I am showing no further questions. I would like to turn the call back over to the company for any closing remarks.
Rafael de la Haza: Well, thank you very much, Aurelio. Thank you, Gigi. We conclude this results conference call. First of all, let me remind you that the Investor Relations team as usual remains available for any doubt or any questions or any clarification you may even in the rest coming days. Have a good evening.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.